Operator: Good afternoon, ladies and gentlemen, and welcome to the Veeva Systems Fiscal 2022 Fourth Quarter and Full Year Earnings Call. Just a quick reminder, today's call is being recorded. [Operator Instructions] Now at this time, I would like to turn the call over to Ato Garrett, Senior Director of Investor Relations. Please go ahead. 
Ato Garrett: Good afternoon, and welcome to Veeva's Fiscal 2022 Fourth Quarter and Full Year Earnings Conference Call for the quarter and year ended January 31, 2022. As a reminder, we posted prepared remarks on Veeva's Investor Relations website just after 1:00 p.m. Pacific today. We hope you've had a chance to read them before the call. Today's call will be used primarily for Q&A. With me today for Q&A are Peter Gassner, our Chief Executive Officer; Paul Shawah, EVP of Commercial Strategy; and Brent Bowman, our Chief Financial Officer.
 During this call, we may make forward-looking statements regarding trends, our strategies and the anticipated performance of the business, including guidance regarding future financial results. These forward-looking statements will be based on our current views and expectations and are subject to various risks and uncertainties. Our actual results may differ materially.
 Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-Q. Forward-looking statements made during the call are being made as of today, March 2, 2022 based on the facts available to us today. If this call is replayed or viewed after today, the information presented during the call may not contain current or active information. Veeva disclaims any obligation to update or revise any forward-looking statements. We may discuss our guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum.
 On the call, we may also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release and in the supplemental investor presentation, both of which are available on our website.
 With that, thank you for joining us. And now, I'll turn the call over to Peter. 
Peter Gassner: Thank you, Ato, and welcome, everyone, to the call. It was a great quarter and a year of execution for Veeva, with strength across the business and results above our guidance. Total revenue and subscription revenue for the quarter were each up 23%, and we posted a 38% operating margin. Total revenue for the year was up 26% to $1.85 billion, and our operating margin was 41%. We also continued to track ahead of our 2025 targets.
 Things are going well. We have a great team and are attracting new people who believe in our values and want to be part of our mission. And our partnership with the industry continues to become more strategic. Our innovation engine is strong. And we're executing well in established areas and newer areas. This sets Veeva up for a long runway of organic growth and profitability as we deliver more value to the industry.
 And we'll now open it up -- open up the call to your questions. 
Operator: [Operator Instructions] We'll go first this afternoon to Brent Bracelin at Piper Sandler. 
Brent Bracelin: Peter, maybe I'll start with you in the script here in the prepared remarks. You do mention something about seeing some challenges around larger deals and closing deals and some projects taking a little longer to close. Can you just maybe talk about is that a shortage on talent on your side, being able to service the client? Or is it really around things that you're seeing and feeling in the customer side of the equation here? 
Peter Gassner: Yes, Brent, this is Peter. What we're seeing is, overall, there's a bit of a talent shortage in the industry that affects us and that affects our customers as well. We have -- the industry is really growing. And as you know, the labor pool is a little bit shrinking in the U.S. So that causes a bit of a talent shortage. We need more people. We have to train up people. But I would say that's a slight one, and I feel comfortable about it. We had a great hiring quarter. We're training a lot of new people how to do things in the industry. So I think that will work its way out.
 And then the other one you mentioned is the large deals. That's something different. Those are just -- we're seeing larger deals than we've ever seen before, some of them in companies that are maybe in the top 40 to the top 15 or so companies. They might look to be going all-in with Veeva, things they haven't done before on the R&D side and in Development Cloud. Some top 10s are looking sort of to go all-in with us in Clinical. These are large things and they take time to work themselves through. So 2 different factors you asked about there. 
Brent Bracelin: Helpful color. And just one quick follow-up on Clinical. That seems to be an area where you continue to have very good success, particularly around kind of the digital trials, broader CDMS adoption, broader CTMS adoption here. What's resonating there? And would you say Clinical adoption is happening as you expected in the last year? Or are things happening a little quicker than you anticipated in the last year? 
Peter Gassner: Certainly, what's happening there is we're on our way to becoming the leader in Clinical. We started out with a broad vision to be the leader in Clinical many years ago, and that starts with putting in that anchor of eTMF, and we're really the leader there and still expanding there. And then CTMS, we got good success there. We're on our way to being the leader there. Then CDMS, we got our early customers live, very happy. Now we're planting these new seeds of digital trials, things like ePRO and Site Connect, eConsent.
 So our Clinical Suite is getting very broad, and we're the only vendor -- only technology company that's trying to attack it broadly and also reinvent it at the same time. So momentum is very good, and it's a long-term play. We're super happy with Clinical. I saw our first demo of one of our new applications about 2 weeks ago, our ePRO, the ones that the patients are directly going to use. And I think it's going to be the world-beating application, but it's new and it will change things. It will change the industry, so it takes time to adopt. 
Operator: We'll take our next question now from Saket Kalia at Barclays. 
Saket Kalia: Peter, maybe just to start with you. I would love to dig into Data Cloud a little bit. Really interesting remark in the prepared comments about sort of comparing that to Vault in the early days. Can you just talk about that comparison a little bit? A lot of us on the call remember that. And maybe just the extension to that question is what's been the feedback that you've gotten from those early adopters on Data Cloud about how the product stacks up against competitors out there? Does that make sense? 
Peter Gassner: Yes. Very good. Yes. When I compared to Vault is our Data business overall, which has multiple components, it has Link in there, it has Data Cloud in there, it has OpenData in there, and what we're finding there, we're making multiple data products and we're finding a way to fit them together in a nice cohesive data architecture that customers can start consuming in different areas. And that's very similar to Vault, nice architecture in the way of doing things. And yes, some people might start in Regulatory or they might start in Clinical or they might start in Quality. But then they all fit together and get more valuable as you have more parts.
 So that's what I mean about -- that's the hallmark of Veeva. We make excellent solutions that stand on their own, multiple different points of entry, and then we move forward. So -- and in terms of the specific use cases, I think it is good to dive into how Data Cloud is a bit different. Paul, do you want to take that one and maybe what some of our early adopters are doing with Data Cloud? 
Paul Shawah: Yes, sure. And this is an area where we're very clearly focused on kind of the early adopter phase of the market, maturing the product, product excellence. I'll give you 1 or 2 customer examples because they're real and they're super interesting. One is a top 10 pharma company in one of their brand teams for a very specific use case. This is a specialty product. And specialty products are delivered through specialty pharmacies, and some specialty pharmacies block the access to the sales of that data. So which means the brand team can't see how much of it is being sold through that specialty pharmacy, it's this thing called block.
 So that's like having a blind spot. They can't see what's happening. And they came to us and they asked us if we could help fill that blind spot in for them, if we can provide that visibility. And we're actually -- because we -- because of what Peter talked about, the modern way that we source and assemble and bring all our data together, we essentially, in a sense, unblocked a lot of the things that they couldn't see with their legacy provider.
 So this is just one use case in a top 10 pharma company, 1 brand. This company probably markets 25 or 30 products. So when you think about that, that's patient data in a very small part of that company. And what happens is that, that starts to go viral in that company. So we're just building confidence in the data set, and the market is starting to see that.
 One other interesting example. It happens to be with one of the top vaccine manufacturers, is they were asking us about our vaccine visibility. And we used Data Cloud, our patient data, to look at the vaccine trends. And we found the trend and they said, "Hey, wait. That's wrong." It was a very specific trend. There was a very specific dip at the time in the marketplace. And they questioned our data. And together, we dug into it with them and they actually learned something that they didn't expect, that they were surprised to learn. And they validated that our data was accurate.
 So we're teaching customers new things with our data, and we're building confidence in -- our product excellence is working. So that's playing out through the marketplace. It's going to take time. These are really complex companies, and it takes time for that to work through the system. But it's playing out really nicely in the early part of the market. 
Saket Kalia: Got it. That's really helpful. Brent, maybe for you as a follow-up. Very helpful commentary in the prepared remarks again, just around Commercial subscription revenue, roughly that 60-40 split, right, around kind of pricing based on a per rep and not per rep basis. And -- or rather CRM versus non-CRM, maybe is the better way to put it, right? And so I was wondering if you could just maybe talk about sort of the relative growth profiles across those 2 parts of the Commercial business as you look at fiscal '23, even broad-brush. 
Brent Bowman: Yes. No, happy to, Saket. So if you take a look at fiscal year '23 guide, the primary drivers of that growth is going to be on that nonrep-based piece. So think about prospects of our marketing -- advanced marketing analytics product as well as Link and our content, Vault content product suite, that is really going to be the primary driver. The more traditional CRM and add-on business will be more steady, slight grower. I would think of it from that perspective. 
Operator: We go next now to Ken Wong with Guggenheim Securities. 
Hoi-Fung Wong: Maybe it's for Peter or maybe Brent. Just as we look at the Clinical growth on subscription, it did decel again from 39% to 34%. I guess what's the key driver that -- is that just purely because those are typically the larger deals and that's where you're seeing some -- maybe some near-term pressure? I would love any color you can give in terms of what the impact is. 
Peter Gassner: Yes. Ken, this is Peter. I'm really happy with that 34% growth on what is becoming a larger number these days. So it's just the way that the deals are falling out and the product suite is getting larger. CDMS is very early in its revenue curve, CDMS, and then Digital Trials hasn't even really started. So I think that's what you're seeing, numbers getting larger. CDMS is really getting a lot of traction, but not contributing very much from a revenue point of view because these are large deals oftentimes that ramp.
 Now if you want leading indicators on Clinical, if you look in that script, one of the most meaningful lines in there was that 1 of the top 6 CROs switched to Veeva as their preferred CDMS. When a sponsor asks them to run a trial, that's a big deal. That will start a trend. So that's really good validation. So yes, really happy with our Clinical business. 
Hoi-Fung Wong: Got it. Really appreciate the color there. And then, Brent, I see that billings is kind of no longer part of the disclosures. I guess as we think about our model, I know, in the past, you typically steered us towards it to kind of track with subscription growth. Is that still the right framework as we look ahead? And any kind of seasonal elements that we should be thinking about on that number? 
Brent Bowman: So Ken, I just want to make sure we're in sync. We did provide a guide on billings for the year. So we began -- guided fiscal year '23 to $2.32 billion, growing at about 19%. So we're excited about the momentum we're seeing in the business that's translating into our guide of billings for the year. 
Hoi-Fung Wong: Yes. Okay. Sorry about that. Yes, we're having issues. We couldn't get onto the IR side. So I was kind of going off of the press release. But I appreciate that. Well, in that case then, thank you for the clarification. I'm good on my end. 
Operator: We go next now to Rishi Jaluria at RBC Capital Markets. 
Richard Poland: This is Richard calling on for Rishi. I guess just a quick question on the -- a follow-up on the pharma rep reduction. I know, last quarter, you said that it was a minimal impact in the quarter. And you pointed to the noncore CRM pieces being now 40%. But just kind of as we look into fiscal '23 and fiscal '24, are you still seeing the same 10% rep reduction and that impact on the core CRM business? And just kind of, I guess, any update over the last 90 days on that piece? 
Paul Shawah: Yes. Richard, this is Paul. I can give you an update. In terms of rep reductions, what we saw in Q4 was exactly -- pretty much exactly as we had expected and anticipated. We did see some reductions that we had planned for and anticipated. So no surprises there.
 We also didn't see anything that would cause us to change any of our thinking around this overall 10%, which has been playing out starting last year. It will play out mostly through this year and partly into next year. So really no change on any of that thinking. It's playing out much as we expected. 
Operator: We go next now to Dylan Becker with William Blair. 
Dylan Becker: I guess maybe first for Peter, too. So kind of a record customer add year here. And as you continue to mature, some of your R&D solutions in the platform today, I guess, how are you thinking about, again, the pace of adoption of some of these earlier offerings, right?
 So it seems like CDMS, CTMS, [ some particulars ], then Safety, [ some of those big tools ], are seeing a more rapid uptick. Is it solely again the value of the integration across the platform that's driving that? And how are you guys thinking about, I mean, factoring in that uptick from an innovation standpoint, again, going forward? As you add new solutions, should we think about it as incremental accelerated kind of adoption for those solutions just given the fact that it's an incremental value-add to the customers? 
Peter Gassner: Yes, Dylan. I guess the way to think about that adoption is what drives the adoption. I would say, product excellence, number one, having the best product in the market and staying with it, building the best product in the market, that's hard work. We got to hire the best product people and have quite a strong vision. And so that's going well, and then we're very good at that. I would say the other thing is relationships. When you're bringing something into large enterprises, relationships really help. That's where our multiproduct approach really helps.
 And these products, we have a lot of early products. If you look at -- they're making progress, but they're very early in their revenue cycle, Safety, very, very early; Data Cloud, extremely early; even CDMS, very early. Not to mention some of the Digital Trials things, some other products we have. So progress really starts a long way before the revenue. So I'm really happy with the progress, and it will lead to good revenue over time. 
Dylan Becker: That's great. Yes, I appreciate the color there. Maybe one other one too, and maybe more for -- more so for Brent. But as we think about kind of the back half ramp maybe in the year, right, so how should we be thinking about kind of the impact of hiring the project starts here and how it's kind of factored in from a recovery standpoint through that back-end acceleration and maybe as well to thinking of kind of the uptick in -- or as you see an uptick in professional service, how that kind of flows through as a contributor to the subscription dynamic as well? 
Brent Bowman: Yes. So yes, thanks, Dylan. So when we look at the deal progressions, we saw that the bookings linearity was slightly more weighted towards the back half of the year. And so we are seeing good momentum of deals progressing, and that's having about a $15 million impact overall to revenue that we called out.
 That has lent itself to the fact that we think we will be accelerating on the back half of the year from a revenue subscription perspective. So we are informed through the conversations we're having with customers. And as Peter mentioned, we're really progressing some large deals nicely. Professional services plays in that nicely. That's a really nice growing business. We're excited about it. And we're continuing to build and add talent to that team. 
Operator: We go next now to Ryan MacDonald at Needham & Company. 
Ryan MacDonald: Peter, maybe for you first. I'm curious on Veeva Engage. Obviously, as we are broadly, I think, hopefully approaching the return to normal here and travel opening up again, I'm curious what the renewals have looked like for Veeva Engage and if you're seeing any similar trends that we're seeing more broadly with sort of video meeting platform vendors in terms of sort of less usage here and if that could have sort of a double impact on Commercial over time with sort of not only fewer pharma reps, but then also maybe a shift away from more video-based meetings, to return in-person. 
Paul Shawah: Yes. Hey, Ryan. This is Paul. I can take that. I track those numbers pretty closely with Engage. First, the renewals have been very strong into this year. And last year, into this year, utilization was really high. The utilization will go up and down with offices opening and closing. And just preferences, we're focused together with the industry on helping the industry become more hybrid, operate either from the doctor's office or from their home office, and do that very seamlessly.
 I'm really proud of the team. We've built a really strong product in core CRM and Engage to enable this hybrid way of working. And that hybrid way of working is here to stay. Most every company, every customer that I talk to, they're thinking about hybrid ways of working, sometimes digital, sometimes in -- physically in an office. So although the utilization will go up and down, it's something that is just here to stay and it's going to be kind of how they do business going forward.
 So I think the renewals will continue in Engage. And particularly as we continue to innovate in that product, we're making it -- we're adding -- interestingly adding things into the product where even if you're in an office, Engage becomes valuable, where you can share content, let's say, 6 feet apart. That's part of the Engage platform. So our customers really appreciate that kind of innovation. So we're excited about helping to move the industry to hybrid and also the road map of innovation there. 
Ryan MacDonald: And perhaps, just a quick follow-up on that. In terms of the pace of the migration of the industry there, do you feel that the current environment is such that the pharma companies are sort of obviously cutting headcount here and then just sort of evaluating the productivity levels of what they have remaining before making sort of those incremental, more hybrid or virtual investments?
 Or are you starting to see a faster sort of adoption of those additional areas? Just trying to understand how quickly we could see perhaps that 40% nonrep-based component evolve over time. 
Paul Shawah: Yes. So when they -- first of all, what has driven some of their productivity gains is the adoption of more technology, the utilization of digital. And Veeva's played a big part in that. That was part of our strategy, help make the industry more productive.
 So now, they get the benefit of that productivity. And what they're able to do with that is, of course, take some of that as reductions. They're able to use that -- those dollars to either invest in more digital or to invest in other areas. Like as they do digital over the long term, they need better data as one example. So that could lead to tailwinds for areas like Link and helping them figure out who they need to reach digitally, Data Cloud becoming more precise about how they do digital engagement.
 So this is something that's going to play out over many, many years, the shift to digital. It's not a fast thing that happens. But I think the number of reps will hit a new steady state, and then the industry will continue to evolve and adopt new digital capabilities and also new data and analytics sets from Veeva and more broadly. 
Operator: We go next now to Stan Zlotsky at Morgan Stanley. 
Ryan Bressner: You have Ryan Bressner on for Stan. I guess just maybe first, maybe talk about Vault outside of life sciences. How are you thinking about that business going into FY '23 now that maybe some of the COVID headwinds are starting to subside? 
Peter Gassner: Yes, the business there, I think you're right, COVID headwinds has largely normalized in that business outside of life sciences. So there, we're focused on large customers in consumer products and chemicals, so things like your basic consumer goods, actually food,  consumer health care, cosmetics and specialty chemicals. And we're focused on company -- large companies largely, companies of $5 billion in revenue and above.
 And if you look where we're focused, Regulatory and Quality and Safety, that's kind of where we're going to help them -- Safety has a different meaning than inside life sciences. It's not the drug safety. It's safety of employees, safety -- and safety of environment. So pretty focused there, and I think seems got good momentum and steady as she goes there. It's going to be a nice, steady, growing business for us. 
Ryan Bressner: Helpful. Maybe just one more then. You talked last quarter a bit about MedTech CRM. Just kind of curious if you have any updates on the opportunity there and how that could maybe work into your existing relationship with Salesforce? 
Peter Gassner: Yes. MedTech CRM, we announced that last quarter. So overall, the MedTech business for us is going well, and it's largely on the Vault side, on the R&D side. It's the Quality, Regulatory, Clinical area, Commercial content. But we did announce MedTech CRM, and that was done very openly with Salesforce, who's been a great partner of ours for 15 years.
 15-year partnerships in technology, that doesn't happen very often. So yes, we partner there in pharma with Salesforce. It's just early in MedTech CRM that we're doing on Vault, and we're just talking to some customers who may become early adopters. We're building the product. So we don't really have any progress to report. We're having a lot of good customer conversations. 
Operator: [Operator Instructions] We go next now to Kirk Materne at Evercore. 
Adwait Adi Ahire: This is Adi Ahire asking on behalf of Kirk. But I just wanted to ask, you guys acquired Veracity a couple of months ago now and which is now being offered as Veeva RTSM. But can you talk a little bit about how that's going so far, the future product -- the future growth of this product and your thoughts on M&A moving forward?
 And just kind of a follow-up, like does more M&A kind of make sense with all the organic developments that you guys are kind of making? Just any thoughts on that? 
Peter Gassner: We're very happy with the RTSM acquisition. I'll take a little bit of time on that. It's feeling great, I have to say. I'm a bit more involved in that one than I am in some other things. And it's a small team and -- but they had a very robust product that they've developed over more than 10 years. But they didn't have a channel and a way really to sell that product.
 So that team is feeling really energized as part of Veeva. We've added to the team. We have a new general manager for that area that came from the Veeva side. He is engaged because he has a new job and a new thing to do. And we actually won a few new deals and net new logos. It's really feeling good.
 Now in terms of acquisition strategy, still, we would -- whenever we look to go into a new market, we would look, is that the right type of thing we can buy? Or do we build or do we partner? Oftentimes, you're not going to find the right thing to buy, sometimes you are. And in this case, we did. And so our strategy really hasn't changed, and we're very happy with our RTSM acquisition. 
Operator: We take our next question now from Joe Vruwink at Baird. 
Joseph Vruwink: Veeva obviously had a very strong year in the Quality category. And Quality seems to be receiving a bit of an elevated focus, just in general, based on some of the recent news and based on some big transactions in the space.
 Do you think the role of that product set in your customers is changing or evolving so that, ultimately, it can command a bigger footprint? I think about Veeva rank-ordering its Vault products in the past. Has the overall opportunity for Quality actually grown so that it might be more consequential going forward than it might have been several years prior? 
Peter Gassner: Yes. Certainly, Quality is a big area for us and still relatively early, and it's growing in 2 ways. The footprint is getting bigger. So training was something we added, and that's now starting to do well. We bought what's called the GXP content. That's very early. That's starting to ramp. We announced a big new product, laboratory information management system, which is the way pharmaceutical companies test the quality of their products. That's a very strategic and big area. So it's growing in its number of applications.
 And then the places where we're bringing it is also growing. So Quality is one of those things -- over time, we'll probably have 1,000 Quality customers or more. We have roughly 450 or so now. So Quality will go far and wide and be a really big business for us over time. So you're right to pick up on that. 
Joseph Vruwink: Okay. Great. And then maybe a question for Brent. Just on the back end-weighted nature of billings growth in this year, it seems like maybe starting the year with mid-teens growth and then exiting closer to 20% growth. Can that 20%-type number start to inform kind of how we should view growth, and I know it's early, but growth in fiscal 2024 if you're exiting at that type of level? 
Brent Bowman: Yes. So regarding our guide for the year, so I think looking at the full year number is the best way to kind of look at the overall strength of the business from a billings perspective at 19%, not to provide any sort of guidance for '24 at this point in time, but we are excited about the momentum we're seeing in the business, the scale of the deals, the breadth of the deals. And as we look out to 2025 and beyond, we're clearly tracking ahead of our 2025 goals. So we're very optimistic. 
Operator: We go next now to Stephanie Davis at SVB Leerink. 
Stephanie Davis Demko: You made some comments on the hybrid environment earlier as we go between in-person and Engage. So I was hoping we could draw some parallels to some of the virtual care players. Are there any pockets of providers or departments that will generally require more in-person rep meetings, especially as you go into more of a MedTech-y kind of environment?
 And are there any pockets that you think will be able to more fully lean in to Engage communications, similar to how the behavioral health, for example, has gone more fully onto virtual care? 
Paul Shawah: Yes, that's a good insightful one. And you're absolutely right. We do see those nuances and differences across therapeutic areas. And we can see that at a pretty granular level. So we can compare oncology with neurology, with cardiovascular space. We can look at different segments. And we see differences there. And those differences are often related to some of the things that you just described. Their level of comfort with doing telemedicine is one indicator. If they're -- if they tend to do that more as part of their traditional practice, they tend to be more comfortable doing an Engage meeting with a pharma.
 So we translate -- there is some translation there. There's some other factors that come into play, the regional nature where some of these customers are. Some customers are getting reached now digitally, that weren't previously reached before in-person. So there -- some companies are expanding their customer target sets that they're able to reach.
 So we see those nuances. We help our customers get visibility into that so they can be more effective. They can start to benchmark themselves. And that's where our Business Consulting comes into play. We're able to be that very strategic partner to our customer, giving them kind of really precise guidance. So yes, it's a key trend we see and watch and help our customers think through. 
Stephanie Davis Demko: That's helpful. Can I shift gears real quick just over to the Development Cloud side? I was hoping you could help us frame the trend of greater end-to-end outsourcing on pharma biotech companies and kind of what the puts and takes are across trial complexity and cost and success rate that's impacting this, especially in the terms of a reopen, knock on wood, and how that impacts your win rates versus some of your potentially more incumbent competitors as the shift happens. 
Peter Gassner: Stephanie, yes, I think that trend of outsourcing in-source, that's largely net-neutral to us at Veeva. I don't see a big change in that, any kind of a macro change. It's really net-neutral. Now if we look at those small biotechs, what are the first things they need, they will need a Quality product and that they always have to have their own Quality records. That's just basic. So I see no change there.
 And then the next thing they will need is probably the Clinical area, and that is where, especially for the small biotech, Veeva making progress in the CRO channel, the contract research organization channel, becoming the preferred provider of the Clinical Data Management, that's what -- that is what's going to help us there. 
Operator: We go next now to Brian Peterson at Raymond James. 
Brian Peterson: So I wanted to start, and maybe this is for Paul, but just on PromoMats and maybe on MedComms. It sounded like that was a driver of growth year-over-year. You know what, I believe in the past, when it used to be just the Vault business, there was some discussion on maybe that had hit a saturation point. But it sounds like that's not the case.
 So I would be curious, as some of your customers kind of rethink their commercial strategies, are we seeing incremental adoption for MedComms and PromoMats. I would be curious to get your thoughts there. 
Paul Shawah: Yes. That's a good one, Brian. And the answer is yes, we are. And a couple of things are driving that. So we're seeing expansion within some existing customers. They're expanding their use to additional users and in some cases, even additional markets as they need to become more efficient in the content space. So expansions with existing customers, but we're also seeing because of digital, the demand for digital content. And once you become more digital, the speed of content, you need to be faster.
 So we're helping our customers get to new levels of speed with innovation areas like modular content, for example. So there -- our customers are innovating, we're innovating with them and helping them become more efficient. So expansions in existing customers, driving the new levels of efficiency with things like modular content is in -- because of digital, all is driving some of the uptick that you're seeing. 
Brian Peterson: And Brent, maybe one for you. I mean you guys had given a lot of detail about the rep decline and the 10% and the timing. I think the question that we get a lot is we're only seeing that in the financials. So if we think about just given how much of your renewal base is tied to the fourth quarter, is this last quarter that was just reported, is that going to be the biggest headwind to billings given the revenue and the renewal impact? Or how do we think about this? 
Brent Bowman: Yes. Hey, Brian. So what we've said is we expect most of the sales rep reductions of the 10% to happen by the end of fiscal year '23. So we're on that path. We didn't see anything that was unusual or surprising to us in this last Q4. And as you should expect, that the revenue impact to slightly trail the reduction in the pharma reps in the billings. So there's a little bit of a lag there on how it flows through the financials. But nothing's changed from what we've seen previously, and it's all incorporated into our guidance. 
Operator: And our last question this afternoon will come from Brad Sills of Bank of America. 
Bradley Sills: I just wanted to ask, and apologies if you answered the question already, but the hiring impact, was that more on the customer side, they're lagging hiring plans, getting projects started? Or is it more on your side, hiring sales personnel and whatnot to help close the deals, to get the deals started? 
Peter Gassner: Yes, Brad. This is Peter. I'll take that. I would say it's a bit of both, right, the industry overall. I think you're talking about a pharmaceutical company, whether it's Pfizer or Novartis or Veeva, and so the industry is growing. And so we need more talent and kind of specialized talent, and so we're having trouble getting enough people and manufacturing those people. So it's a slowdown, is both, from both of those things.
 Now in the grand scheme of things, you have to remember, a pretty minor slowdown and no change to the competitive environment. On our side, yes, those types of people that you would expect, sales and services people. But the good news is we had a strong hiring quarter, and we're training a lot of new people about the industry. So we think we'll come out of this very strong. 
Bradley Sills: That's great to hear, Peter. And one more, if I may. Just anything on CTMS, CDMS deals in that top 50 segment this quarter, and just pipelines, how does that segment look? 
Peter Gassner: Yes. I would say I'm very optimistic about that segment. We really won't talk about -- we mentioned the CRO that picked Veeva as their primary CDMS, now that was a really big one. A CTMS win in the top 20 as well. But the pipeline is really progressing for Clinical, both in CDMS, CTMS, some combo deals across CTMS and CDMS. I'm very excited about that. Momentum, and you can feel it when it happens, it doesn't show up in the financials for a while. And we can definitely feel the Clinical momentum right now. 
Operator: And that is all the questions we have for today. Mr. Gassner, back to you, sir, for any closing comments. 
Peter Gassner: All right. Thank you, everyone, for joining the call today. And thank you to our customers for your continued partnership and to the Veeva team for your outstanding work in the quarter and the year. Thank you. 
Operator: Thank you. And again, ladies and gentlemen, that will conclude today's Veeva Systems Fiscal 2022 Fourth Quarter and Full Year Earnings Call. I would like to thank you all so much for joining us and wish you all a great day. Goodbye.